Henrik Hoye: Welcome to the Presentation of Full Year 2024 Results for Protector Forsikring. We’ll focus on the full year results and make some comments on the quarter four throughout the presentation where there is something special to comment. And I think it’s okay that we have questions during the presentation. That gives a better dynamic. So please feel free to raise your hand where you have questions. And we’ll also have some time after the presentation, of course, for questions. We had a session this morning with the employees, as always. One of the targets for next year on the company level is data quality. I think that’s related to a lot of our culture. But over time, it should be something that drives both cost and quality leadership. And it really needs to be owned by everyone who works in Protector. So we spent some time on understanding what that is and setting targets for that for 2025 and the longer term. So to 2024, I will get back to this slide, which is the summary. So I think I’ll very soon jump into the different parts of the result. But when it comes to other highlights, we sent out a volume update on the 21st of January, including the 1st of January, 2025 growth. And parts of that has to do with France, which we have talked about before. So, today I also have Bjarte, who is an important part of the project in France, to say a few words around the status in France. First, on the growth side, and when we are on a full year basis, we like to see this in a longer term and in a perspective. And obviously, with a very strong growth in 2023, coming mainly from the UK, but all countries contributing. What you can see on the composition of our portfolio is that on a segment basis, the increase of public sector is significant. So, in 2024, public sector and housing represents close to 50% of our premiums. In 2019, that was 29%. And this is an area where we have a high market share in the Nordics. We’re getting there in the UK, but there are still good growth opportunities and it’s where we grow the most in France from the beginning. So that’s an area we see ourselves as specialists on and that’s been increasing. But remember that that’s a confined market, so it’s a -- there are only that many municipalities and housing associations, and that’s what we’re targeting. When it comes to the products, public sector is heavy on the property side. So what you also see is a movement toward a higher share property. So property is where we’ve grown by far the most. And motor has been a stable share, meaning that it’s grown with the total company. And those are both fairly short-tailed products, property definitely, but with some volatility on the large loss side, there are large exposures, so we should expect large losses. And the motor side is on the liability, third-party liability and personal injury, especially in UK and France. The tail is slightly longer, but the rest of the product is short-tailed. So it’s fairly transparent movement towards a more transparent insurance product portfolio. The growth in 2024 is strong in all countries except for Sweden. And in Sweden, we’ve had some cleanup of portfolios, which has taken us the opposite way. But if you look at the quarter four in Sweden, you see that when the cleanup is done, the growth is increasing there as well. And in the Nordic countries, most of the growth is supported by good renewals, meaning high or low churn, so high retention on our clients, and price increases to support or to counter the claims inflation. And then there’s new sales on top, and we have new sales in all markets. So, we see rational markets in the Nordics, which you probably can see when the big Nordic companies present their numbers. And we also experienced that in our segments in the UK, we find growth opportunities. So quarter four is very much driven by the UK business, and it’s both renewals and the new sales also in the UK business. Parts of the quarter four numbers in the UK, just to explain them is that, there are a couple of larger clients who change deductible structure from a higher deductible and less premium and go down. So it’s not only a very high retention and high price increases, it’s also that the clients change slightly in quarter four, so that drives some of the additional growth. And then to what I assume that many people are interested in learning more about, the French market and the start there. And I just want to introduce Bjarte. Some of you have met Bjarte previously following the strong growth in quarter two 2023. Bjarte was also here to tell you how that happened. And Bjarte has a very good track record in Protector. When we started the UK project, Bjarte was an underwriter and in Protector terms, an experienced public sector underwriter and was part of that project. Moved to Manchester, lived in Manchester for approximately a year, together with the employees we have in the UK to influence on how we should work on culture and how we should focus on discipline and profitable growth. And really make the -- especially the experienced people, but also the new people understand that facts and data matter and should make -- form the basis for the decisions we make. So -- and I think you have seen in the report that that has been successful. So, Bjarte, it’s very good to have you on the French team and please let them know what we’re doing there.
Bjarte Jensen: Thank you, Henrik. Thanks for introduction. I wanted to start a bit with an update on the Project France. So roughly one year ago, the first French national moved to Manchester to learn our ways. Following that, we have placed roughly three people in Copenhagen, and there’s now three people in Manchester that are learning our underwriting methodology, our way of doing business, but more importantly, our culture, who we are and our DNA. Soon, those people will start to move back to the Paris office and work out of the Paris office. We will hire additional people and likely move them to Manchester and Copenhagen to train before they go back to the Paris office. We also have a core team in Paris, a few specialized resources, particularly in claims handling and finance, and there’s about 12 people in -- French nationals in -- working in Protector at the moment. France will develop Protector and in France, Protector definitely is the challenger. We are a small start-up. We are supported by the rest of the company. All countries and departments are involved in the project from IT to headquarters to underwriting. So it really is a one-team approach supporting France. It’s not only the 12 people. One example is the risk engineering team in the UK that are heavily involved in supporting the underwriting start-up in France from the beginning. But in time, France will grow and France will contribute significantly to the Protector company as a whole. We are very patient in France, so we are not in a hurry. As always, we have a top three ambition, to be a top three player in the segments that we operate in, so that’s what we’re here to do. Now a bit of an update on January new sales. So first, a few sentences on the market size. So we have found the market share that we have defined as attractive for us. It’s about EUR1.5 billion, and we think this number will remain like this for quite some time. It’s enough for us. When the time is right, we can expand our risk appetite and do more, but this will be for later and not now. The broking market is supporting us and welcoming us into France. Both are kind of partners and global brokers that we know from our home markets, but we also have good relations with the local market-leading brokers in France when we do business with all of them. In relation to the 1st of January, new sales of EUR25 million, a small overweight on the property product. We want to say a bit about the inception dates. So in France, the inception date is very heavily skewed towards the 1st of January and we think that roughly 80% to 90% of gross written premium incepts on the 1st of January, depending a bit on segment, a bit on tender cycle. So that is the situation. Going forward, you should be expecting volatility in -- both in loss history and also in growth. Protector is a small startup, and it will take time to build up a critical mass of book of business. So that’s -- thank you.
A - Henrik Hoye: Questions to Bjarte?
Unidentified Analyst: In which year will you be quality leader in the French market?
Henrik Hoye: We have a celebration of the 1st of January now in February. And then there is a workshop with the team where we will decide that. And I assume that the answer will be that it will be similar to the UK, which was after 18 months.
Hakon Astrup: Just one question. Hakon from DNB Markets. Just one question first on the cost base, approximately how big do you think the cost base is for France for the first year? And then just on the underwriting, are you pricing in that you will have learning curves effect? So you expect that for the first year, the claims ratio should be somewhat weaker than what we see in the UK and the Nordics?
Bjarte Jensen: I think maybe Henrik will answer the one on the cost base. But in relation to the underwriting philosophy, so we price and underwrite risk according to Protector long-term profitability growth goals. So I think you should expect similar results. Obviously, on the cost side, Henrik can maybe talk a bit about that?
Henrik Hoye: Yeah. I might just add that there will be more volatile, the claims results, that’s to be expected with a small portfolio. But on the cost side, we will spend what we need to spend in France from the beginning. So, if we get good people -- access to good people, we will employ them. We see market potential. And exactly what that cost base will be in ’25 picture, I don’t know, but we’re 12 people -- 12 French nationals now. That number will increase during 2025. And then I can say something about it on the cost side later, so you understand where the project is -- where you can find the project cost of this. So that’s -- I don’t have a clear answer to exactly what that cost will be.
Jan Erik: Jan Erik from ABG. Just one question on the map there. Is that your targeted EUR1.5 billion level? Or is that just the countries you are now into the EUR25 million in total?
Bjarte Jensen: Okay. It is certainly an illustration of areas in France where we have business today. It’s not entirely exhausted, but roughly this is where we have won some clients.
Jan Erik: And secondly, France is a different country towards -- to a lot of other countries, especially Nordics. So how do you see which counties and municipalities you’re engaging into versus sort of the affordability and economics in these areas? Have you chosen that out of the EUR1.5 billion out of the social system or how well are counties run? Or how have you chosen this EUR1.5 billion target market share?
Bjarte Jensen: Yeah. So the EUR1.5 billion is a combination of the -- what we would call like the in scope commercial fleet motor segment, which is the largest part of it. That’s commercial clients across the whole of France. They are not necessarily located in one county or part of France. The other part, which kind of this map probably illustrates better is, like we have some clients in France in the public sector side, on the property side. So the public procurement rules are also in operation in France and a lot of the underwriting in business is underwritten out of Paris. It’s like the headquarter or the main city in France, of course. So, there is a tender cycle as it is in all the other countries in public sector, roughly five years. So clients will have to go out to tender. So we cannot choose what clients we take. We have to kind of bid on the clients that are coincidentally out to market at this point in time. So that is a bit of a random game. Obviously, we have been in France before. So we have quoted the business that have been presented to us, and we have happened to win some of them.
Henrik Hoye: And that, I guess just to add to that, that’s one of the criteria. So one out of 400 factors that are evaluated in order to decide whether we should ensure a public sector client, a housing association or a local authority, municipality will be social factors and probably politically incorrect evaluations of some of those factors. But we -- so there are data sets and available data for us to make those evaluations, and it’s part of what we price competitively and not. And then in addition to that, we have seen a set of clients now. And the most important criteria for not quoting, because we haven’t quoted everything we’ve, seen has been data quality. So when we haven’t had data quality, then good enough. Then we have not quoted those clients.
Unidentified Analyst: Do you have a number on the hit ratio in France with the EUR25 million compared to the start in UK? That’s the first question. And the last question is the motor fleet, the 9 million, is that public or commercial clients?
Henrik Hoye: Last question you can answer, Bjarte.
Bjarte Jensen: Yeah, it’s mostly -- the fleet size is mostly commercial, but there are some public sector in it as well.
Unidentified Analyst: And then my follow-up on that is, isn’t it unusual to have commercial clients? I thought that when we were entering a new country we are always starting with public because that’s the easy part. So isn’t that a change of strategy?
Henrik Hoye: You can say that it’s different from what we’ve done, but we have started commercial in both Sweden, Denmark and UK from the start. What we decided in France is that it’s more challenging to understand the property and liability products in a new country. Motor fleet is possible. If you have data enough, you can calculate what you do. So it’s in that way more transparent. And we have then had success with the brokers, seeing a lot of volume. And to the hit ratio question, it’s lower than on the motor fleet. It’s lower than what we, in general, experience in the existing markets. And we have quoted less than we generally do. So it is -- we see that it is a big market. Hit ratios on what we have quoted in France motor is approximately 10%. On the public sector side, we have won around 20%, Bjarte, what we have quoted in numbers? Yeah, bit more than that, which is a lot higher than what we started out within the UK, but lower than what we normally get in the existing markets.
Unidentified Analyst: Because regarding commercial, when you are having a 10% hit ratio on commercial in France on the motor fleet, they don’t know who you are. You don’t have a name in France. So I’m just surprised that you are able to get clients at all because the way to do it is to go into the public market where they need to take the lowest offer, but the commercial can choose. So why do they pick you, the 10%, when they don’t know who you are?
Henrik Hoye: Well, the decisions are made on price basically. So if we can be best on price then we can win clients. But, obviously, there’s been a big piece of work done in getting to know a few selected brokers in the French market. So as Bjarte mentioned, both the ones we work with in the existing markets, the big global brokers and some of the largest French brokers. And that work has resulted in us understanding that there is a need for capacity in the French market. And they’re welcoming us and giving us opportunities to win business at least now. Okay. Thank you for your questions, and thank you, Bjarte. The last thing I just want to add on the French project, which Bjarte carefully alluded to is the value that such a start-up has for an organization where an example is data quality, which I started out with. So we are a fish on land in France if we don’t have data, and that’s a fact. But the biggest risk for Protector going forward in existing markets is that we grow to be like everyone else and that we grow to be too big and complacent. And we see small examples of where we can look at a new product line of business. And since we have a big business in that country from before, we don’t -- we’re not as disciplined in looking for data in order to go into that new line of business. And then we look at France and we’re going to say that we don’t even quote if we don’t have perfect or really good data. Then we learn, then we stop that process and say that, no, we’re not entering that. We -- remember now, this is -- we’re a fish on land also in the UK for that product. So let’s collect data first and then go. So it reminds us about what we need to do in order to be who we are and what has taken us to where we are today. And that’s maybe the most important reason for going to France now. It’s not because we need a new market. It’s because it gives development opportunities to the rest of the company. So France is already giving back to Protector as a company. Okay. Back to ’24 and the loss ratios. Here, again, a time line with loss ratios per quarter. And as we always say, you should expect some volatility in the loss ratios between the quarters. And some of it is related to the large loss, which is the share, which is the light gray box and also the run-off situation between the quarters. So let’s just illustrate that. But if you accumulate those, both on the large loss side, you see that what we have said is approximately 7% is a normalized large loss level, and we’re slightly lower than that with this history, but it’s normalized. Hakon?
Hakon Astrup: Yes. Just one question on large losses. You alluded to that you have increased the profit book quite a lot. I guess that you have more large losses on that product. Should we then expect more higher larger losses going forward than in the past, perhaps the 7%, is that higher now than what it was in the past?
Henrik Hoye: It’s approximately the same, and that is due to the composition of some of that property growth where parts of it is smaller flats in the UK public sector, leasehold business, the large loss share there is lower, more similar to other products. And the same goes for the housing bit. So no is the answer. But that can change over time, and it’s not an exact -- the 7% is not exact. So maybe slightly higher or slightly lower, but we’ll update it when we see that necessary. And then on the runoff side, we say that it’s about best estimates always. And if you look at this period of time, which is what we have restated to IFRS, you see that it’s very close to zero over these quarters. For ’24, we have talked about Denmark before. So Denmark has more than 30% large loss share, many larger losses, none of which have touched the reinsurance program. And then the other countries have less than a normalized level. So if you normalize these countries, you’d have to take Norway up, but it’s still improved from ’23. Sweden up, but still improved from ’23. UK up very similar to ’23. And then Denmark, obviously down, but Denmark is also where we see the underlying profitability needing some more correction still. So that’s -- any questions to the total loss ratios here? Yes, Jan Erik?
Jan Erik: Thank you. Jan Erik from ABG again. When you touched upon the competition side, could you also shed some more light into the need for sort of profitability improvement in the other countries, Norway, Sweden and the UK? You mentioned Denmark as one area where you needed to do something. How long is the lead time for sort of price hikes in Denmark? We understand that there is a difference between the household sector and the sort of commercial sector. So could you shed some light into where you are on your price hikes and what you need for the different kind of markets going forward? Thank you.
Henrik Hoye: Thank you. On -- so it depends on products. In general, motor is where we have the biggest need for still price increases or above claims inflation. And that is both in the UK, Denmark and Norway and to a lesser extent in Sweden on the motor product. On the property product, it is more on the Danish side and more on public sector. And a lot of what we believe is necessary has been done for the countries that have large inception dates on 1st of January. So -- but there will be some continued price increases where necessary going forward as well. And the lead time on it is -- basically in Denmark and Sweden and Norway, you’ll have 70% of the business incepting then. And if we have done what we need to do, you should see it after a year then when the earned premiums from 1st of January has come.
Bjarte Jensen: Plus the rest.
Henrik Hoye: And then to the weakest part of the results, our cost ratio in particular quarter four, where there are -- you’ll see that in the Interim Report that we have explained it. There is -- so if you look at the difference between 7.5% and 6.0%, which is quarter four ’23, the biggest driver for the difference between the two is a technical reallocation of some taxes and fees. So they should have been in quarter three ’24. And then the more important part to understand is that, there is not efficiency development showing here. So we’re coming into 2025 with -- we’ve been very good at recruiting following the growth and investing in new projects, but we have not been able to show that -- the effect of that recruitment going in. So this is an area for improvement. I’m not concerned about the situation, because if you -- these figures that we have here, they are excluding claims handlers or the claims handling cost, that’s how the accounting is done. So this is everything else, but claims handling, claims handling cost is on the loss ratio. But if we look at the loss -- the cost ratio, including claims handling, exclusive of commissions, which we call cost the real way and is what we should measure. 50% of the people in Protector work in claims handling. So it’s an important part of our cost. The development looks better than what you see on this cost ratio. So we are decreasing that cost, but we need to see effect of the investments that we make now. Our IT cost is impressively enough the same in ’24 as ’23. If you look at the growth we’ve had on the premium side, that’s -- it’s impressive to get that many IT developers on board that quickly. But that is a part of a conscious decision of investing to prepare for a rapid development in -- on the technology side and also the data side. So the UK is obviously in a growth phase and will be slightly volatile on the cost ratio, lower when we grow quickly like in ’23 until we get people on board. And then we’ll have to get efficiency and scalability out of those employees again. But in the Nordics we’re more mature, and that’s where the development is on the weak side. Any questions?
Unidentified Analyst: Is there an element of share-based compensation also in the numbers for Q4?
Henrik Hoye: Yes, there is. But it’s not as big as you may think. So this is incentive program for key employees in Protector and it has synthetic shares that are linked to the share price and we’ve had it for some time. So some employees have some shares there. But there must have been some development in quarter 4 ’23 as well because the difference is not explained by that at all. I’m not sure exactly how the share price developed in ’23, but -- Q4 ’23, but it must have been similar to what it has done now.
Unidentified Analyst: Seems to go up all the time.
Henrik Hoye: Yeah. Okay. So quality with the brokers, we showed this the last time. I think the important message here is that we need to understand, together with the brokers, how we can improve this value chain. And our position now is good to do that because the relative ranking that the brokers give us in the markets we’re in is high, is number one. So we have a good -- we’re in a good position to challenge how we work together and ensure that we are fit for the future and that we can compete with the direct channels and be the brokers’ preferred partner over time. So that’s an important piece of work that is going on as we speak. This is just a summary of the growth and the cost and claims ending up in a combined ratio. And I think I’ve mentioned most of what is important here through the other areas. Then we can go over to the investment side, both our premium growth and some changes in the exchange rates make the assets under management grow significantly. So we have a lot -- there’s a lot of money to work with. And in 2024, which we always also say that it’s a short period, of course, in this line of business, we have a weak -- what we call a weak result on the equity side and a strong result on the bond side. And the running yield is exactly the same as it was a quarter ago. It’s a slightly different composition. We have a bit more high yield in our portfolio end of quarter four than we had end of quarter three, so that’s the reason why the spreads are slightly higher, but still at a very low level then. So it’s a good bond market and not exactly what we like the most. But the risk is reduced since 2023, during 2024 on the bond side. Other than that, I didn’t plan to say much on this. Follow us over time. We believe in what we’re doing at least. I can comment a couple of things here because you saw on the cost slide that we said in those cost numbers, France is not an excuse. So the French project is according to the IFRS guidelines in what here is other income/expenses, basically in the middle here. So you see that at [198] (ph). The largest part of that is interest on the subordinated debt, but part of it is allocated from the French project. So the French employees before we have business is in that number. So that’s, I guess, an important piece of information. The other part is the reinsurance, which could stick out here. And what I think you can look at is the difference. When we grow a lot in the UK, there’s more reinsurance in the UK. It’s driven by two factors. One is that the casualty products, motor and liability, have a larger share of personal injury and the personal injury claims are bigger. So that reinsurance is more expensive. And so that shows more in the numbers. The other part is catastrophe risk, some natural catastrophe risk, and that’s driven by Denmark and UK. So when we grow more there, we -- the relative reinsurance price is higher on a company level. And we haven’t had -- haven’t hit our standard programs during 2024. So most of our programs are excessive loss, meaning that one claim needs to be at a certain level, slightly different from product to product in country, but around NOK100 million Scandinavian kroners or equivalent in euros and pounds. So it needs to be above that in order to hit the reinsurance program. And then we have some smaller programs that are -- so you’ll see that there is some recovery from reinsurance, but those are smaller programs and smaller products. So those -- yeah, Hakon?
Hakon Astrup: Can you say something about the January 1 renewals of the reinsurance side?
Henrik Hoye: Yes. So we’ve had, I would say, a very good renewal for 1st of January on the reinsurance side. We’ve also made a change in parts of our portfolio in order to reduce the reinsurance need. So we’ve managed to set loss limits on parts of our portfolio, large property clients, which has reduced the need for the very high level reinsurance on the cat side, which is basically capital protection, not any risk. So that has been very successful. So the share of reinsurance will go down in ’25 relative to ’24. And then we’re at the capital side and the solvency, and we’re obviously growing. So the requirement is growing due to our growth in premiums. And then there are a couple of smaller elements like, when we have slightly poor performance on the equity side the requirement goes down due to our options that we have there. But on the capital side, it is increased by the result. And we’re in a solid position. But if we go to the distribution -- sorry, this -- I’ll go back to the other one later. But we think that it is right to be in the green area with the outlook -- potential outlook for growth in -- especially the French market, which is new. So the volatility in how we grow there is unpredictable and also obviously, a lot of opportunities in the UK market. So then we should be on the green side of this. When it comes to the targets, we continue not to set a target or guiding on the growth side because profitability comes first and the profitability target is not changed. Solvency is not a target in itself, but we spend a lot of resources in understanding all the risks that we have and how we should deploy our capital relative to those risks and opportunities. And we should focus on stressed situations and see what excess capital we have there, so we don’t have to do anything stupid when we -- when something hits. So that’s the main purpose of that. Then we’re back to the summary. So a very strong year with, I would say, one weak point, the cost ratio, which we should, over time, focus on and fix. It’s still -- we’re still cost leader and especially in the certain segments and where it matters the most. But it’s about the totality. So, then I’m done, and you have time for more questions, Jan Erik?
Jan Erik: Jan Erik from ABG again. Just one question, silly question maybe. You have a very good renewal rate. Could you shed some more light into the renewal rate versus the retention and also where you see competition is heading, because it looks like everyone is pricing up and everyone is happy and the client cannot hide anywhere. So when will we really see this sort of volume competition again? And do you see any international players returning to the Nordic market as the profitability has sort of increased the last six years?
Henrik Hoye: Okay. So we can do the renewal rate first. So with that high renewal rate, it is driven by a low churn, meaning that the churn is -- it is double-digit, but not a lot more than that. And then the price increases is not double-digit, but they’re not very far from. And then that there are some -- like I explained in the beginning, there are some changes in the clients where they decrease their deductible level and you get more premium, some of the clients grow, get more cars and some of the properties are valued higher and increase there. So it’s -- that’s also in the mix. So you can’t just say churn plus price increase and then you end up at the number. When it comes to competition, it’s -- I mean, it’s difficult for me to speculate in when the price or volume competition will happen again. We have not seen other than the niche operations that some of the large international players have and have had for some time, Zurich, for instance. We haven’t seen large new competitors enter the Nordic market. And then we see that it is rational. And I think that when you look at the large competitors in the Nordics, a lot of their profitability and what could look like extremely rational comes from the direct distribution and consumer sector. Because the brokers, they look after their clients. So the -- so it’s not the same there, but it is rational. Meaning that, when we increase prices because we think it’s warranted, then -- and they go out in the market, they don’t necessarily get a better price just. So we still see that situation. And UK is very -- there’s a large variation depending on what segment you’re in. Public sector and housing is still lacking full competition, but it’s back to more of a normal level. And in the commercial sector, it depends on where you are. So motor is up and down and property is softening as we speak. Has been very hard, is softening and that’s also due to -- or related to the reinsurance market, which is also softening and which we get some benefits from.
Unidentified Analyst: First of all, congratulations on a fantastic quarter four. Very, very strong January 1st renewal, and you are one year ahead of schedule in France relative to UK in 2016, so congratulations. My question is, do you have management capacity to work on the next market?
Henrik Hoye: Thank you, first of all. And the answer to the question is that is no at the moment. But our continuous succession planning of bringing people up, like I said, the French project and establishing ourselves in France now is about giving opportunities to more people. And some of those people who have worked on the French project. They are now much more capable of potentially contributing in a new market. And until we have the capacity and decide to really spend resources on a new market, we do some -- because it’s fun and we learn from it, we do some smaller initiatives in order to collect data and understand where we should look. I have mentioned that we, in a very general way, look at the US market just to have that as a comparison to the other European markets, and that requires some resources, but very little. And we plan to be ready when we know what to look for in a potential new market on management capacity.
Unidentified Analyst: It seems that your profitability are improving from quarter-to-quarter. And if you do the adjustments in the Q4, if I’m done it right, you are reporting combined ratio of 84.5%. But if you adjust for the big losses, the gains, the special cost you mentioned and also if you normalize the net reinsurance ratio, which was very high, I end down at 84% combined ratio, clean adjusted for the fourth quarter, which is a significant improvement from last year. And also we see improvement from quarter-to-quarter and also well below the market expectation. And I wonder the period we have seen after the COVID with strong inflation and you are running after repricing. Now, we are seeing inflation turning down again, and you are still improving the pricing. So I just wonder in a normal world in 2025 and 2026, should we now enter a sweet spot where you see you are really reaping the benefits and that combined ratio should go even down if the competitors are acting like they are doing right now today?
Henrik Hoye: Loaded question. I think it’s in a way challenging to pick apart the reasoning. Just one detail is that, normalizing the reinsurance ratio is challenging to do and part of the reason is what I said previously that we grow a lot more in the UK where that’s higher. And the reinsurers, they will have a margin. And what that margin is over time is also -- yes, who knows what that should be. They should have some margin over time. And -- but everything else equal, it is obvious that you’re seeing the effect of the price increases that we made in order to correct the lag that we had on claims inflation for some time. So, we’re starting to see some of those effects. But then at the same time, it is an opportunity to bring on volume at slightly lower margins. So, Jan Erik’s question, when does that happen? That should happen gradually, I would assume if competition is rational both ways. But if we stopped now and didn’t do anything more or didn’t write any more business, it’s a typical situation where I think it would be possible to squeeze a lot of profitability out of the portfolio. But it’s the growth part and Protector is a profitable growth company, so we will continue to explore new markets. And then we have the French market, who knows if we make mistakes there, we think we’re doing the right thing, but that’s coming into the books also now.
Herman Zahl: Herman Zahl from Pareto Securities. In what ways, if any, is the role of brokers different in the French market compared to the UK market?
Henrik Hoye: It is different. So, it’s a good question. I think we’ve mentioned it here previously, but happy to repeat it again. They -- first of all, the brokers in public, so it’s slightly different in different segments. But in public sector, there are consultants. We’re used to that from the UK housing sector, meaning that the brokers have more of a -- they’re not agents. So we do the underwriting, we decide, but they pick us. So they’re picking us to go with them and quote with the consultants who will decide on behalf of the clients or together with the clients who wins. In addition to that, the brokers do a larger part of the value chain. So they do frequency claims up to slightly different levels, about GBP20,000. So we’re there handling them as a claims handler and the large claims. But this is the same in the market. So we’re not any different. It’s just the way it is. So it is slightly different, but it seems like it’s possible to maneuver. And Protector -- the challenger coming into that market fits into that model as well. And yeah, we’re learning as we go.
Unidentified Company Representative: We also have some questions from the e-mail, mostly to the French market. So, could you shed some light on when you started to evaluate France as a market? Who are the main competitors? What cost advantage do you have towards those given what you just said on the total value chain? And how is the competitive landscape given that UK has tailwind from little competition. Is that something you also have -- we also have in France?
Henrik Hoye: I could spend a lot of time, so how can I make this short? So coming into the French market, we selected following understanding a bit more, those two segments that Bjarte talked about, public sector housing and motor. We saw in the public sector housing space, we saw that the main player in that market, they do -- they also do types of risks that we -- that the brokers don’t do, so direct business, they’re called SMACL. And if you look into their results, they have poor claims results and very high cost ratios. So they have cost ratios well above 20% and they have poor results. So, that’s slightly different from the other markets we’ve entered, not the cost ratio, but the claims ratio. So, the prices have been higher over some period of time in the markets we’ve entered. And then that’s the kind of large mutual, similar to Zurich Municipal and KLP in Norway and LF in Sweden. And Gjensidige KommuneForsikring in Denmark. So that’s the similar player there. In France, there are also some of the large international AXA, Allianz, any other, Bjarte?
Bjarte Jensen: A few others there, Generali, is in there as well and couple of others. But not very large market shares as a whole.
Henrik Hoye: Yeah. So -- and then more -- it seems like they’re more selective in the market. They’re not one large player. That’s SMACL that is there in the public sector space. Motor is more like the UK. Many competitors, the local -- or the global and the local large players are there on everything. And what their cost ratio on motor is, I’m not -- exactly hard to find out. But it seems like -- so now that we know something, it seems like we can win with the way we price.
Henrik Hoye: Okay. If there are no more questions here, then I say thank you for questions and for listening, and have a good rest of the day.